Operator: Good day and thank you for standing by. Welcome to the First Quarter 2025 Emergent BioSolutions, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Frank Vargo, Vice President, Assistant Treasurer. Please go ahead.
Frank Vargo: Good afternoon, everyone. Thank you for joining today as Emergent discusses their operational and financial results for the first quarter of 2025. As is customary, today’s call is open to all participants. The call is being recorded and is copyrighted by Emergent BioSolutions. In addition to today’s press release, there are a number of slides accompanying this webcast available to all webcast participants. Turning to Slide 2. During today’s call, Emergent may make projections and other forward-looking statements related to their business, future events, their prospects or future performance. These forward-looking statements are based on their current intentions, beliefs and expectations regarding future events. Any forward-looking statement speaks only as of the date of this conference call and except as required by law, Emergent does not undertake to update any forward-looking statements to reflect new information, events or circumstances. Investors should consider this cautionary statement as well as the risk factors identified in Emergent’s periodic reports filed with the SEC when evaluating their forward-looking statements. During today’s call, Emergent may also discuss certain non-GAAP financial measures that involve adjustments to GAAP figures in order to provide greater transparency regarding Emergent’s operating performance. Please refer to the tables found in today’s press release. Turning to Slide 3. The agenda for today’s call will include Joe Papa, President and Chief Executive Officer, who will comment on our turnaround progress and a high-level summary of Q1 2025 performance; and Rich Lindahl, EVP and Chief Financial Officer, who will provide further details on the first quarter 2025 financials as well as provide full year guidance for 2025. Joe Papa will conclude by discussing the 2025 business outlook and key catalysts for growth, followed by Q&A. Finally, for the benefit of those who may be listening to the replay of this webcast, this call was held and recorded on May 7, 2025. Since then, Emergent may have made announcements related to topics discussed during today’s call. And with that, I would now like to turn the call over to Joe Papa for opening remarks. Joe?
Joe Papa: Good afternoon and thank you for joining us to review our first quarter 2025 earnings. This is Joe Papa, CEO of Emergent, and I’m joined today by Rich Lindahl, our Chief Financial Officer. I will provide brief comments on our progress with our multi-year turnaround plan in the first quarter results. Then I’ll hand it over to Rich to review the financials, and then I’ll return to provide some additional commentary on our business and our 2025 priorities. And then as Frank mentioned, we’ll close with the Q&A. Turning to Slide 5. We continue to make great progress executing on our multiyear plan to stabilize the company, streamline our operations to improve profitability and transform the company to achieve long-term sustainable growth built on Emergent’s strength. Throughout the quarter, Emergent colleagues executed on our strategic plan with a laser focus on improving operational efficiency and driving profitable growth. I want to call out three great Q1 achievements, all while keeping the Emergent mission statement to protect and save lives at the center of our work. We delivered on our revenue and adjusted EBITDA targets while we further improved our cash and liquidity position. We partnered with the U.S. government and allied nations to ensure preparedness with medical countermeasures, and we delivered life-saving NARCAN Nasal Spray across the U.S. and Canada to patients, customers and communities. And third, we completed two strategic business development transactions that align with and enhance Emergent’s core capabilities. Let’s turn to Slide 6 for a more detailed review of the great work of the Emergent team in the first quarter. Based on a great team effort, we are reaffirming revenue and adjusted EBITDA guidance for 2025. We improved our cash position in the quarter. At the end of the first quarter, we have cash of $149 million on the balance sheet, which includes approximately $36.5 million from the sale of the Bayview site in Baltimore. Additionally, we have $50 million from Bavarian Nordic milestone payments, $30 million was received in the first quarter and $20 million addition has already been received in the second quarter. We also expect to benefit from strong receivable cash collections in the second quarter. Our net leverage is now 2.8x adjusted EBITDA, which is a remarkable achievement since it was around 5.7x back in the first quarter of 2024. With our improved cash position and $100 million of a fully undrawn revolver, we have a total of $250 million in liquidity available to us for our strategic growth initiatives, both internally and for external business development. We have focused Emergent’s business today to concentrate on our core strength of medical countermeasures and opioid overdose reversal treatment. We are committed to combat the opioid overdose epidemic and help save lives. We continue to meet the demand for naloxone with NARCAN Nasal Spray, which is by far the category leader. In the first quarter, we managed through two one-time events with NARCAN, a third-party distributor selling short-dated generic naloxone inventory at a reduced price and states proceeding with caution as it relates to federal funding process for naloxone. We now have greater clarity and are encouraged by the NARCAN revenue progress we are seeing in the first 6 weeks of the second quarter. On MCM’s, we had a very favorable quarter with a significant amount of international revenue while maintaining our strong relationship with U.S. and allied government partners. Through extensive meetings with U.S. government stakeholders, we have a better transparency on expectations for 2025 deliveries, which supports our 2025 guidance ranges. From an R&D perspective, our new Chief Medical Officer, Simon Lowry, has created and is implementing a strategy to evaluate several of our current product line extensions. Two examples of that are a better understanding of the utility of TEMBEXA in mpox treatment through the Africa CDC MOSIP trial and our efforts to facilitate the availability of ACAM2000 for the ongoing mpox epidemic in Africa with the World Health Organization. Let’s shift to Slide 7 to look at our North America-centric manufacturing model in more detail. Two key points related to our Emergent model. All of our MCM pox are manufactured in the U.S. or Canada and are U.S. MCA compliant, which means they are currently not subject to tariffs between U.S., Canada and Mexico. We are actively managing our future inventory orders to mitigate any material tariff impact associated with components sourced from the European Union. Based on the U.S. manufacturing focus and the existing information, we believe our business is relatively shielded from tariff impacts. Now I’d like to turn the call over to Rich to walk through the Q1 financial results.
Rich Lindahl: Thank you, Joe, and good afternoon, everyone. We appreciate you joining the call. As Joe has just highlighted, we are off to a strong start in 2025 as we continue to make progress on our multiyear transformation plan. We delivered first quarter revenue in line with our guidance, enhanced our cash position and reduced our net leverage ratio. Net income in the first quarter was $68 million, a 656% increase versus the first quarter of 2024. In addition, we saw significant margin expansion, both on the gross margin and adjusted EBITDA margin lines versus the prior year. These metrics support our turnaround objective of focusing on highly profitable components of our business while divesting non-core low-profit assets. Both our medical countermeasure and opioid overdose reversal products deliver sustainable revenue over time and garner bipartisan support at the U.S. government level. During the quarter, our portfolio of unique medical countermeasure and opioid overdose reversal products also continued to provide life-saving capabilities to people around the world. In the first quarter, we had $91 million of sales outside of the United States for our MCM products. As part of our multiyear transformation plan, we expect to remain focused on international expansion efforts and strengthening health preparedness at home and abroad. With that, let’s move to the first quarter financials. As highlighted on Slide 9, our key financial metrics are total revenues of $222 million, down versus the prior year as lower NARCAN and BAT sales as well as the divestiture of RSDL and Camden were partially offset by higher international smallpox sales. Adjusted EBITDA of $78 million, an increase of $11 million versus the prior year. Adjusted EBITDA margin of 35%, an increase of 1,300 basis points versus the prior year. Adjusted gross margin of 58% improved 700 basis points year-over-year as a result of product mix as well as the improved cost structure stemming from our previously announced restructuring efforts. Note that beginning with this report, we are no longer reporting services as a separate segment given the divestitures of our Camden and Bayview sites and deemphasis of our CDMO business as a driver of growth. You will still find breakouts of our Commercial Products segment and MCM Products segment results in our press release. And finally, operating expenses were down $32 million or 32% versus the prior year across R&D and SG&A. Transitioning to Slide 10, our first quarter revenue highlights were total product sales of $202 million, a decline versus the prior year as increased smallpox revenue from both the U.S. government and international customers was offset by lower NARCAN and BAT sales. All other revenue comprised of our services and contracts and grants revenue was $20 million. The year-over-year decline is due to the sale of our Camden CDMO facility, which is partially offset by a higher level of CMG revenue year-over-year from the continued U.S. government funding of the Ebanga program for treatment of Ebola. And finally, a few notes on NARCAN. We continue to remain competitive on price and focus on our competitive advantages, including our brand recognition, market-leading distribution capabilities and customer service. We attribute the year-over-year decline in NARCAN revenue to several factors. First, the full impact of reduced pricing in the public interest space that began to take effect in late 2Q ‘24. Second, volume was impacted by what we believe was a one-time sale of short-dated inventory to the market by a third-party distributor of generic product. And finally, the federal administration transition caused some purchasing delays as states sought to access funding programs. Having said that, as we exited the first quarter and thus far in the second quarter, we are seeing improved trends in unit volumes, which gives us confidence that a good portion of the first quarter decline was temporary in nature. On Slide 11, you can see the continued improvements in our financial metrics. As of the first quarter of 2025, we had total liquidity of $249 million, comprised of $149 million of cash and $100 million of undrawn revolver capacity. Both liquidity and cash were significantly improved year-over-year and versus year-end 2024. Our improved cash position in Q1 2025 was aided by the receipt of the $30 million Bavarian Nordic milestone payment as well as the sale of our Bayview manufacturing site for $36.5 million. We also collected the $20 million Bavarian Nordic milestone and a significant amount of our accounts receivable so far in Q2, further improving our overall cash position. Our net debt in Q1 2025 was $551 million, a $280 million reduction or 34% since Q1 2024. And this outcome, coupled with our strong performance in the business, allowed us to cut our net leverage in half as we ended the first quarter at 2.8x adjusted EBITDA. We believe that a net leverage ratio of 2x to 3x adjusted EBITDA represents an appropriate capital structure target for the business, providing the ability to actively invest in strategic growth opportunities and ultimately drive further value to our shareholders. Please turn to Slide 12, and I’ll touch on our key capital allocation priorities in support of our multiyear transformation plan. First, we seek to maintain sufficient cash and liquidity to operate the business and manage the variability of working capital cash flows driven by the timing of MCM order deliveries. Next, the top priority is to deploy capital in an effective manner to drive growth. This is a critical component of our multiyear plan. And as Joe has highlighted, we’ll focus on both organic and inorganic opportunities to drive near-term and long-term growth. Finally, we’ll also consider debt repayments to strengthen our balance sheet and share repurchases to create incremental shareholder value. On March 31, 2025, we announced a $50 million share repurchase program, which will expire in March of 2026. Accordingly, there were no purchases made in the first quarter, and we will provide further updates with our earnings releases going forward. Transitioning to Slide 13, we are reaffirming our full year 2025 guidance as follows: total revenues of $750 million to $850 million. Adjusted EBITDA of $150 million to $200 million, reflecting improved year-over-year profit margins driven by lower costs in the business. Adjusted gross margin of 48% to 51%, roughly a 500 basis point expansion at the midpoint versus 2024 results, aided by our leaner and more focused manufacturing footprint. Moving to segment level revenue guidance. MCM product sales of $435 million to $485 million across U.S. government and international orders and commercial products, including KLOXXADO, in the range of $265 million to $315 million. As part of this guidance, we expect NARCAN to continue to maintain a leading market share of the growing total addressable naloxone nasal spray market. And for the second quarter of 2025, we are forecasting a total revenue range of $95 million to $120 million as we anticipate that our full year revenue will be weighted more to the second half of 2025 than to the first half. Accordingly, given this implied second quarter sequential revenue decline, you should also expect second quarter profitability to decline significantly versus the first quarter and then improve meaningfully beginning in the third quarter. In closing, on Slide 14, we continue to progress on the turnaround phase of our multiyear plan with strong execution through the first quarter of 2025. We are anticipating strong profit follow-through from 2024 even with lower topline revenue. Our guidance, therefore, implies a very strong margin improvement story. And when combined with our expectations for continued positive operating cash flow, Bavarian Nordic milestone payments and the Bayview manufacturing site sale, our performance positions us to capitalize on growth opportunities for the business and value creation for our shareholders. Finally, I would also like to mention that we have published our annual ESG report for 2024, which you can find under the Impact tab of our website, emergentbiosolutions.com. As a company, we continue to prioritize quality and sustainability across multiple environmental, social and governance pillars. We hope that you will review our ESG report and take note of our progress. I’ll now turn the call back over to Joe to discuss our business outlook and growth catalysts. Joe?
Joe Papa: Thank you, Rich. Turning to Slide 16, I’d like to provide a more detailed outlook on our business and the growth catalysts. Falling rates of opioid overdose deaths, as reported by the CDC is a welcome news. At Emergent, we believe expanded OTC access to NARCAN is an important factor in the reduced opioid overdose deaths. We are making progress. However, there still is a significant public health threat, and we want to make sure we continue to work with stakeholders until we bring the opioid overdose death rates in the U.S. and Canada to zero. We believe the naloxone market will continue to experience mid-single-digit unit volume growth in the near future and the value of NARCAN as a trusted category leader will provide us with a differentiated and competitive pricing position. Three examples demonstrate NARCAN’s leadership value. Number one, we continue to add new public interest customers and regain and retain important state customers, further demonstrating our ability to address competition. Second, we are currently in discussions with several major large employers, including one major e-commerce giant to supply thousands of boxes of NARCAN Nasal Spray to their locations. Third, our NARCAN direct distribution platform and strong relationships with leading distributors represent significant growth potential for the product and an opportunity to help save more lives. The wall units pictured here on the page show our team has created and several employers have installed them in offices across the U.S. and Canada. These can be purchased through our distributor partners, so anyone can reach for NARCAN to help respond in the time of crisis. We believe every business should have naloxone available in the same manner as defibrillators. Growth in the business-to-business and retail channels will make NARCAN more widely available. However, the additional funding from the opioid litigation settlement is a large and impactful way to ensure NARCAN gets into the hands of those most in need. Also, just last week, we announced a 3-year agreement valued at approximately $65 million with the province of Ontario to supply our life-saving NARCAN treatment. In March, Health Canada approved our recently licensed product, KLOXXADO Nasal Spray. This expands Emergent’s ability to distribute multiple life-saving opioid overdose emergency treatments to patients, customers and communities. Moving to Slide 17, we have good visibility into the delivery timing of our MCM product in 2025. During the first quarter of 2025, our MCM portfolio continued to deliver strong domestic and international sales. As expected during the first quarter, we have recently completed our first shipment of TEMBEXA to the Strategic National Stockpile under our previously announced contract modifications as well as our first shipment of TEMBEXA outside the U.S. Between these shipments, the ongoing Mpox trial led by the Africa CDC and our continued R&D work, we believe that TEMBEXA represents a significant opportunity for potential organic growth. In addition, we successfully delivered multiple international orders for five MCM products across smallpox and anthrax. Notably, as we consider our footprint in key areas where public health threats are on the rise, such as in Africa with the ongoing Mpox outbreak, we continue to engage with the World Health Organization on an emergency use listing for ACAM2000 vaccine as well as key African country leaders to offer our assistance. Moving to Slide 18, we have already begun deploying strategic capital for opportunistic growth through business development. First, our investment agreement to support the research infrastructure development and expansion of Swiss Rockets, the parent company of our Rocketvax venture. Additionally, as part of this endeavor, we intend to form a strategic partnership where Emergent will lead the U.S. manufacturing and commercialization of four of Rocketvax’s pipeline candidates. Second, our acquisition of exclusive commercial rights to KLOXXADO Nasal Spray 8 mg is an added tool to fight the opioid crisis. We are also continuously unlocking opportunities to create line extensions, kits and other solutions. Third, with our growth in the MCM and the Naloxone market, we have signed or in the process of negotiating contracts related to our MCM products with allies in the European Union, Middle East, Africa and Asia Pacific. Our expectation is significant cash generation through 2025, which is expected to fund future growth investments. On Slide 19, we further illustrate the potential reach and validation of our plans for geographic expansion in an increasingly dangerous world. In closing, on Slide 20, our Emergent team has delivered strong financial performance in the first quarter, and we reaffirm our full year revenue guidance of $750 million to $850 million and our adjusted EBITDA of $150 million to $200 million. We remain on track to execute our multiyear turnaround plan, while we strive for the highest standards of quality, ethics and compliance across the entire Emergent enterprise. And with that, I look forward to taking your questions. Operator, please open up the line for questions.
Operator: [Operator Instructions] Our first question comes from Jessica Fye with JPMorgan. Your line is open.
Jessica Fye: Hey guys. Good afternoon and thanks for taking our questions. I kind of have a handful. First, on tariffs, I think you have mentioned that you are not sort of subject to the existing tariffs. Can you just talk a little bit about your manufacturing footprint, including sources of API? Does any product cross the border to pass into the U.S. for sale? Second, can you elaborate on what drove the gross margin improvement this quarter and how to think about that gross margin trajectory from this level that we saw in the first quarter? Third, when you provided the 1Q forecasted revenue range, I think it was $200 million to $240 million. Were some of those NARCAN dynamics in motion, including that competitor selling short-dated product, like was that already contemplated? And then lastly, I think in the past, you had expected the Naloxone market to grow mid to high-single digits year-over-year. And I think on the call, you said mid-single digits. If I heard you correctly, what changed? And can you talk about how you see the various market segments contributing to that mid-single digit growth? Thank you.
Joe Papa: Sure. You had quite a few. So, we will try to make sure we get them all. But let me start with the tariffs, and then I think, Rich, you can take the gross margin, and then I will come back on the NARCAN and Naloxone mid-single digit growth. So, let me start with the tariffs. The majority of our product is manufactured and/or sourced, the active ingredients by ourselves here in the United States. So, as I have said, they have very limited tariff exposure. It is true we do obtain at this time, one of the devices for our NARCAN comes from Europe. However, we are working to get that straightened out and get more of it from the U.S. going forward. But that’s something we are working on. So, there is some exposure. But the far and away, the majority of our products are manufactured in the U.S. through our U.S. manufacturing network or in Canada. But in both cases, they are what we refer to as USMCA compliant. So, at the current time, we don’t expect a significant impact on the tariffs from our product portfolio. As I have said, there is a device that NARCAN comes from overseas, but we are in good shape relative to the inventory we have on hand of that device today. So, that’s probably the best way I can answer the first question on tariffs in terms of – importantly, we have been out front of this and making sure that, especially because of the medical countermeasures, much of our infrastructure was U.S. based prior to this based on just important biodefense-type reasons. On the segment risk and gross margin, Rich, do you want to take that?
Rich Lindahl: Sure. Yes. So, there is a couple of factors at play here, Jess. First is that, as you know, as you are well aware, we have taken a lot of costs out of the business over the last 1.5 years to 2 years. And by selling Camden, by selling Bayview, we have a lot less unutilized capacity. And so that certainly has helped the gross margin side in and of itself. Secondly, the product mix in the first quarter was favorable on that front, in particular, the large amount of international orders, which tend to be higher margin, was also a factor that contributed to that improvement.
Joe Papa: On the third question, my recollection was, do we contemplate some of these impacts on NARCAN as we were doing the first quarter, the answer is yes. We clearly knew some of this. As to exactly the magnitude of things like that, I think obviously, we got smarter as time went on in the quarter relative to the magnitude of what the third-party distributor had on hand from a short-dated product. We didn’t know the exact extent of it. We obviously know much more today about what it was, etcetera. So, had we contemplated some of it, yes. But certainly, we got more clarity on the – and transparency on the magnitude as time went on. And then relative to the actual question – the second part of it in terms of the Federal funding, we clearly knew that there was going to be Federal funding for NARCAN and the continuing resolution CR for the government. So, we certainly know some pieces of information, but timeframes created certainty and understanding as time went on. So, we contemplated some of it, but clearly, we got smarter as time went on. And then on the fourth question, I believe it was the Naloxone market in terms of unit volume. And we always felt pretty similar that it was going to be somewhere in that mid-single digit type of growth rate. At some point, it may be slightly more, slightly less, but always contemplated somewhere around that mid-single digit growth rate for our belief on the overall NARCAN and Naloxone total market growth. So, we think the total pie will continue to grow by that mid-single digit type growth rate.
Jessica Fye: And then within the market, can you talk about the growth for the different segments?
Joe Papa: Sure. Thanks for reminding the question. Far and away, the largest segment is the public interest. However, as a growth driver, we do expect the business-to-business activities as exemplified by some of the things I have mentioned in the call, what we are doing with the NARCAN wall units and making sure we have those available and putting together programs like that, working with a very large e-commerce partner and making NARCAN available at their facilities and also being able to sell these NARCAN wall units to other businesses across the board. All of those, we think are going to drive and make the business-to-business segment a faster-growing segment. But far and away, the majority of the units still will go through public interest.
Rich Lindahl: Yes. I might just add in. I think there is also opportunity in Canada. And you saw that we announced that large contract just last week with the Province of Ontario. So, I think that’s an example of ways we can grow in Canada. And then there are also some provinces that have much less procurement of NARCAN today. And so we are actively looking at opportunities there as well to expand our footprint.
Joe Papa: And as I have mentioned, we do have that $65 million of incremental 3-year contracts, so that’s going to certainly help us as we – as Rich pointed out, thanks for bringing that forward. Okay. Operator, time for another question, please.
Operator: [Operator Instructions] Our next question comes from Yi Chen from H.C. Wainwright. Your line is open.
Yi Chen: Thank you for taking the question. This is Yi for Ram Selvaraju at H.C. Wainwright. I have a couple of questions. The first one is, are the international customer referenced in the March 2025 press release pertaining to the $27 million in medical countermeasure incremental sales likely to place more orders before the end of this year? And if so, how much additional revenue could potentially accrue from these orders? And how might the $27 million come in? Will the sales be primarily recognized in the first half or second half of ‘25? And I have two follow-ups. Thank you.
Joe Papa: Sure. It’s a great question. Maybe I am just going to back a little bit before I answer the question. I would say, I would remind you that a year ago, as we were thinking about the future of our business, we certainly focused on the international growth opportunity as an opportunity for us to continue to diversify our business. And fortunately, we are seeing exactly that happen. All told in the first quarter, we achieved about $91 million of international revenue. If you do the math on that, that’s about 40% of our overall revenue came from outside the U.S. and about 60% of our medical countermeasures revenue coming from outside the U.S. So, we do think that diversification is important. Second point, I would make certainly is that, as I mentioned in the call, we view this as an increasingly dangerous world out there. And I think many of the countries are looking at their needs for medical countermeasures and trying to make sure that they are prepared in the event something would happen. I do think that some of the outbreaks of the Mpox that we are seeing in Africa just it will illustrate the point that you need to be prepared for any eventuality. And I think that’s why we are seeing greater international revenue for us, and we are certainly going to do more to try to work on that. We have a specific team that’s been identified. They have been working on this probably for the last six months, thinking about what can we do to continue to expand. I am probably not going to make any specific comments about the exact magnitude of the $27 million plus opportunity, but do I think there is more opportunity beyond the $27 million, the answer is absolutely yes.
Yi Chen: Thank you. And my second question is, how will the $65 million total revenue from the Ontario Ministry of Health be allocated over the next 3 years?
Rich Lindahl: Yes. So, it’s a 3-year contract. We will see exactly how it comes in, but I think it’s reasonable to assume that it could come in fairly evenly over those 3 years. So, for modeling purposes, I would be comfortable with that.
Yi Chen: Okay. And is Emergent likely to benefit at all from pharmaceutical and biotechnology manufacturing onshoring over the next course of coming quarters, or does Emergent plan to sell or divest any of your manufacturing infrastructure?
Joe Papa: Sure. Great question. Probably the way I would answer it is that Emergent today, we are well positioned with our manufacturing network, and it is, as I mentioned previously, predominantly U.S. manufacturing or Canadian, but that is USMCA compliant. Do we have additional capacity for drug substance and fill finish for products, yes, it’s absolutely yes. So, we do have capacity. While I have previously said, the bioservices or contract manufacturing is not a focus. We certainly will look at that opportunistically as companies need help as they are transitioning back to the U.S., we certainly will look to help them, especially because, as I mentioned, we do have some capacity in those sites for both drug substance or API and also for fill and finish. So, we will look to try to help. Relative to selling any additional facilities, I think at this point, we like our footprint. But as a public company, if somebody puts a good price on the table for one of our facilities, of course, we would consider it. But we feel very good about the – what we have done so far. I think all told, we have divested sites in products that represent approximately $150 million of value. So, that is the big important part of reducing our total debt and importantly, putting us in a stronger position from a cash point of view today. We don’t feel the need to make any more divestments, but we certainly look at them opportunistically if we can help others.
Yi Chen: Thank you. If I may squeeze in a last one, last question. Has the company been actively repurchasing stock lately? Is there any chance that the repurchase program being launched? Thank you.
Rich Lindahl: Yes. We will comment on the progress against the repurchase program each quarter, and we will just have to leave it at that at this point.
Yi Chen: Alright. Thank you very much.
Joe Papa: We are very pleased. The only thing I would add is we are very pleased with the cash generation we have, and we will have to make decisions as to how best to utilize that cash for the multiple objectives that Rich talked about in the presentation. Operator, any other questions?
Operator: I am showing no further questions at this time. I would now like to turn it back to Joe Papa for closing remarks.
Joe Papa: Well, thank you everyone for joining us. With that, ladies and gentlemen, we now conclude the call. Thank you for your participation. Please note, there will be an archived version of today’s webcast as well as a PDF version of the slides used during today’s call will be available later today and accessible through the Investors landing page on the company website. Thank you again for joining us. We look forward to speaking with you all in the future. Goodbye everyone.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.